Operator: Good morning everyone and welcome to today’s PVH first quarter 2024 earnings conference call. At this time, all participants are in a listen-only mode. Later, you will have an opportunity to ask questions during the question and answer session. You may register to ask a question at any time by pressing the star and one keys on your telephone keypad. Please note this call may be recorded, and I will be standing by should you need any assistance. It is now my pleasure to turn today’s program over to Sheryl Freeman, Senior Vice President of Investor Relations. Please go ahead.
Sheryl Freeman: Thank you Operator. Good morning everyone and welcome to the PVH Corp. first quarter 2024 earnings conference call. Leading the call today will be Stefan Larsson, Chief Executive Officer, and Zac Coughlin, Chief Financial Officer. This webcast and conference call is being recorded on behalf of PVH and consists of copyrighted material. It may not be recorded, re-broadcast or otherwise transmitted without PVH’s written permission. Your participation constitutes your consent to having anything you say appear in any transcript of replay of this call. The information to be discussed includes forward-looking statements that reflect PVH’s view as of June 5, 2024 of future events and financial performance. These statements are subject to risks and uncertainties indicated in the company’s SEC filings and the Safe Harbor statement included in the press release that is the subject of this call. These include PVH’s right to change its strategies, objectives, expectations and intentions, and the company’s ability to realize anticipated benefits and savings from divestitures, restructurings and similar plans, such as the planned cost efficiency actions announced in August 2022 and completed in 2023, the 2021 sale of assets of and exit from its heritage brands’ menswear and retail businesses and the November 2023 sale of the heritage brands’ women’s intimate apparel business to focus on its Calvin Klein and Tommy Hilfiger businesses. PVH does not undertake any obligation to update publicly any forward-looking statement, including without limitation any estimates regarding revenue or earnings. Generally, the financial information and projections to be discussed will be on a non-GAAP basis as defined under SEC rules. Reconciliation to GAAP amounts are included in PVH’s first quarter 2024 earnings release, which can be found on www.pvh.com and in the company’s current report on Form 8-K furnished to the SEC in connection with the release. At this time, I am pleased to turn the conference over to Stefan Larsson.
Stefan Larsson: Thank you Sheryl and good morning everyone, and thank you for joining our call today. I would like to start by thanking all our associates around the world for delivering another quarter of strong performance. Your passion, your creativity and hard work makes all the difference. I feel very good about how we are delivering on our near term commitments whilst steadily steering towards our long term vision to build Calvin Klein and Tommy Hilfiger into the most desirable lifestyle brands in the world, and make PVH one of the leading brand groups in our sector. We delivered our first quarter in line with our revenue expectations and achieved a stronger than expected double-digit EPS growth year-over-year, driven by our disciplined execution of the PVH Plus plan. We drove 3% growth in our direct-to-consumer business on a constant currency basis, which was offset by declines from a cautious wholesale channel and our proactive strategic quality of sales initiative. Importantly, we drove 350 basis points of gross margin expansion and increased our EBIT margins by 80 basis points on a non-GAAP basis year-over-year, exceeding our guidance. Looking ahead, we are reaffirming our revenue outlook for the full year and raising our EPS guidance, reflecting the confidence we have to continue to execute with impact while being prudent, given the continued macro headwinds. For the year, this translates directly into growth in Asia and North America, while in Europe against a tough macro, our focus in on quality of sales to further strengthen our unique market position in the region for long term brand accretive growth. In all that we do, building brand desirability for both Calvin and Tommy is the most important, and it is the foundation to all five of our growth drivers. It’s exciting to see how much traction our PVH Plus plan execution is already achieving in the consumer-facing parts of the plan. We now have multiple proof points showing how we consistently in a systematic and repeatable way drive some of the strongest engagements in the industry, all by going back to the unique brand DNA of each of our brands and connecting them to what’s relevant today. Calvin is driving some of the highest consumer engagement in the history of the brand, fueled by cut through campaigns with globally relevant mega-talent. We saw the impact of this work earlier this year with the launch of our spring campaign featuring Jeremy Allen White, and we are excited to build on this strong momentum as Calvin’s global product engine takes hold. Tommy is also cutting through on a new level and increasingly participates in the most relevant cultural moments in the world, connecting back to the brand’s classic American cool DNA and making it hyper-relevant for today. Tommy’s return to New York Fashion Week was named one of the top 10 fashion shows of the season globally, and at the Met Gala, Tommy dressed all eight members of K-pop band, Stray Kids for their first appearance in the Met steps and generated more conversation online than any other brand at the event. The strong brand and consumer engagement across both Calvin and Tommy is a result of our disciplined PVH Plus execution, where the lead times for consumer engagement impact are shorter than our product lead times. Even though we are already seeing early product traction leading to double-digit growth in key categories with pricing power and gross margin improvement, most of our product improvements will come over time, starting with Fall 2024 and then continuing to strengthen season by season. A critical enabler to our product strength is the development of our data and demand-drive operating model, where we continue to optimize inventory to better match demand. With inventory currently down 22% versus the same time last year, we are constantly improving how we plan, buy and allocate our inventory and taking concrete actions to move the needle here. One such action is during this year and next, we are rolling out source-tagged RFID in both brands across all of our channels globally, which will drive incremental revenues. Another area we are improving is allocation, where we have already reduced initial allocations from 90% to 70%, which means that 30% of our inventory is now directly allocated based on consumer demand signals in season. As I mentioned before, each of our five growth drivers is important on its own, and it’s when we increasingly play them all together that the real power of PVH Plus comes through. Now let me share some highlights from the first quarter on how we executed across our two iconic brands and three regions. Starting with Calvin Klein, the global brand continues to gain strength across all consumer-facing parts of the PVH Plus plan, from product and marketing to how we show up in the marketplace. Calvin entered the quarter with unprecedented momentum following the highly successful launch of our spring campaign. We built on that momentum through the quarter with global talent like Kendall Jenner, Jung Kook and Jennie Kim. Calvin also teamed up with actress, Zendaya to tease the launch of its spring collection, creating a custom look for her Challengers movie premier in Rome. We continue to elevate our direct-to-consumer experience with a new global store concept which recently launched in Dusseldorf and Rome. Next week, we launch a global flagship store on the iconic Champs-Élysées in Paris. On the product and brand side, I’m thrilled to welcome Veronica Leoni as creative director for Calvin Klein collection, and equally delighted to share that Calvin Klein plans to return to the runway in 2025. Calvin Klein has always had a unique positioning in the market with a strong consumer following from underwear, fragrance, jeans, to more refined dressing, all the way to the runway. The collection and the runway will create an aspirational halo for the brand, adding new dimensions of desirability to the already strong foundation in product and marketing. Turning to Tommy Hilfiger, after having kicked off the spring season with a historic return to the runway, Tommy followed up with a spring campaign featuring Kendall Jenner and friends wearing some of our best seasonal must-haves, including the iconic Tommy polo. In Europe alone, the campaign drove polo sales up by over 30% compared to last year, reinforcing the relevance of this hero product to the consumer’s wardrobe. The highly anticipated Stray Kids campaign also launched during the quarter, first in Asia, then followed by a global release which drove significant social engagement globally. Last month, we solidified our presence in the world of sports and entertainment at the Miami Grand Prix, headlined by Kendall Jenner, Lewis Hamilton and George Russell. Looking ahead, we will continue to drive brand desire and consumer engagement spotlighting the best of Tommy summer lifestyle through a special event in Mikonos with global talent, all hosted by Tommy himself. It’s early days for Lea in her role as Tommy Hilfiger Global President and she is already making a big positive difference, and together with her team leaning in to take the brand to the next level. Now let me turn to our regional performance, starting with North America. I’m very proud that our team continued to drive strong PVH Plus execution in a tough macro, achieving high quality revenue growth led by D2C which increased mid single digits, and followed by growth in wholesale, which for Calvin and Tommy increased 2%. Our Tommy and Calvin businesses together delivered 3% revenue growth which was fueled by strength in higher average order value and conversion, as well as lower promotions year-over-year. I’m pleased with how our Tommy and Calvin businesses combined achieved a 10.5% EBIT margin, marking another quarter of double-digit margin and making it the third consecutive quarter of delivering over 500 basis points of margin improvement compared to the prior year. In D2C, both brands delivered positive comps driven by strength in product category [indiscernible], hero products, and much improved shopping experience. It’s exciting to see the elevation of our digital shopping experience leading to double-digit demand growth in the channel. For wholesale, we also delivered high quality positive comps for Calvin and Tommy through continuing to work very closely with our key partners to improve product, presentation, staffing and inventory availability. Both brands are very well positioned to continue to win share with the North American consumer and drive significant EBIT margin expansion in a brand accretive way. Let me now turn to our international business. In Europe, consistent with our plan, revenue was down low double digits year-over-year. Importantly, as a result of our actions, we are driving much higher gross margins and are further strengthening our unique brand position and pricing power in the market. Our quality of sales focus had an approximate 6% revenue impact in the quarter, which represented roughly half of the revenue decline. We continue to expect the full year quality of sales revenue impact to be approximately 5%. As we shared previously, we have seen tough macro conditions, especially in our two biggest markets, the U.K. and Germany, where consumer sentiment is challenged and our wholesale partners are cautious, and in this tougher macro, our focus continues to be on quality of sales to set ourselves up for profitable brand accretive growth over the long term. As a reminder, the three main quality of sales actions we are taking in the region include from midyear, we’ll stop all third party sales of our brands on digital platforms. We have also significantly reduced the number of digital platforms that we sell to, while at the same time strengthening our collaboration with our best partners. We are also improving inventory in relation to sales overall to avoid having too much inventory. While still early in the year, through these actions we have already made significant progress. We have lowered clearance sales by nearly 50% as we began the year with much improved stock freshness. In D2C, where we have the most direct control over the consumer experience in full price channels across both stores and ecommerce, we drove a double-digit increase in spring ’24 product sales while prior season clearance sales and inventory were down double digits. In wholesale, as we shared previously, our full order book finalized at down high single digits versus the prior year, reflecting the cautiousness in the channel. However, we are seeing encouraging sequential improvements for pre-spring ’25 orders, and next week we will kick off the market launch of the main spring ’25 season. I’m very encouraged by the product innovation and newness our teams are bringing across key categories for both Tommy and Calvin. Finally, as we shared yesterday, Martijn Hagman, CEO of Tommy Global and PVH Europe will be leaving the business, and I want to thank Martijn for his 15 years of loyal service to PVH, helping to build our European region into the market-leading and highly profitable business we have today. I feel very good about Lea Rytz Goldman now officially on board as Tommy Hilfiger Global President, reporting directly to me, and David Savman, our Chief Supply Chain Officer becoming our interim CEO for Europe. Since David joined us, he has played a unique role in the company, being a key leader driving PVH Plus performance all the way from product creation to marketplace execution. He has already spent a lot of his time in Europe together with our regional leaders, so he will have a running start. In parallel, we have started a search for our permanent European leader. Moving onto Asia Pacific, the region delivered overall revenue growth of 3% in constant currency, led by high single digit growth in D2C. China delivered high single digit growth in local currency, with double-digit growth in Japan and Korea also in local currency. We continue to drive high relevance with our consumers in Asia by connecting our strong product category and hero product offence with mega-talent and rising stars. Our brand ambassadors, Jung Kook and Jennie Kim continue to fuel Calvin’s brand engagement across the region, and for Tommy, the Formula One Shanghai Grand Prix with Lewis Hamilton and Tommy himself, as well as local celebrities and influencers boosted brand heat in the market. Revenue and market share for our business continues to set new records [indiscernible] as we further explore new ways to engage consumers. On TMall, Tommy the man hosted his first live stream shopping experience for the brand, which ranked number one on the channel. Following a successful Lunar New Year this past quarter, we are now in the early days of the big consumer moment, 6/18, which will be followed by Chinese Valentine’s Day in July. Recently, I spent a week with our teams in China and Japan walking stores across multiple cities and firsthand was able to see how much untapped growth potential we still have in the region. In closing, for the first quarter we again delivered on our plan. We drove high quality growth in both Asia and North America, while in Europe, given the tough macro, we took the long term view of increasing quality of sales, strengthening our market position for the long term. We continue to build out the PVH Plus execution momentum, led by significant strength in consumer engagement and brand desirability across both Calvin and Tommy, resulting in high quality D2C growth with strong margin expansion. The build-out of our data and demand-driven supply chain continues to generate value, and we are investing in growth while driving increased cost discipline. Through our PVH Plus plan, we’re moving PVH into a leading brand builder with two of the most desirable lifestyle brands in the world. What’s making all this happen is our strong leaders and teams across the company, and I want to again thank you for the great work you do. With that, I’ll turn the call over to Zac to discuss the financials in more detail.
Zac Coughlin: Thanks Stefan, and good morning. My comments are based on non-GAAP results and are reconciled in our press release. As Stefan discussed, we are pleased with our solid first quarter results driven by our iconic brands and disciplined execution of the PVH Plus plan. We exceeded both our top and bottom line guidance, largely due to the timing shifts in wholesale shipments and expense phasing. We delivered operating margin of 10%, up 80 basis points versus last year and better than planned, driven by 350 basis points of gross margin expansion. Our performance for the quarter reflects our disciplined focus on driving higher quality of sales and improved profitability. Importantly, our inventory at quarter end is down 22% compared to last year and is well positioned to support our plans for the rest of the year. Additionally, we returned $200 million to shareholders during the first quarter through the repurchase of 1.8 million shares of common stock, and remain committed to $400 million of total share buybacks for the year. We also refinanced $525 million of euro notes in the quarter with the issuance of our first-ever green bonds, underscoring our commitment to sustainability and ensuring our continued strong liquidity position. Looking forward, following our solid first quarter performance, we are reaffirming our full year revenue and operating margin outlook and raising our EPS outlook to $11 to $11.25 per share, from previously $10.75 to $11. We remain on track to deliver our 2024 financial plan with the improvement in EPS coming from lower interest expense and an improved tax rate. I will now discuss our first quarter results in more detail and then move onto our outlook. Revenue for the first quarter was down 10% versus last year, including a 1% negative impact from exchange and a 3% decline from the sale of the heritage intimates business. We delivered our revenue plan for the quarter, beating our guidance by 1% due to a small shift in timing of wholesale shipments from the second quarter into the first quarter. Starting from a regional perspective, first quarter revenue for our international businesses was down 8% on a constant currency basis. Sales in our Asia Pacific business were up 3% on a constant currency basis, with strong growth in D2C across all markets. In China, we delivered high single digit growth in local currency. Sales for Asia Pacific were down 2% on a reported basis. Sales in our European business were down 12% in euros, as expected, due to the strategic decision to focus on higher quality of sales in the region as previously discussed, along with the continued challenging macroeconomic environment. As Stefan mentioned, our quality of sales focus accounted for 6% of our decline in Europe revenues this quarter but also delivered higher gross margins in the region, which were up approximately 200 basis points versus last year. In North America, sales for our Tommy Hilfiger and Calvin Klein businesses combined grew 3% as we delivered another quarter of growth in both our retail stores and owned and operated ecommerce business, with total D2C up mid single digits. Wholesale sales were up low single digits and better than planned due to a shift in timing of wholesale shipments from the second quarter into the first quarter this year, as retailers are taking inventory earlier than planned due to strong sell-through of our products in their stores. Importantly, gross margins were up nearly 500 basis points with significant improvements in both brands and across all channels. From an overall PVH channel perspective, we continue to drive performance in our direct-to-consumer business. Overall revenue in our D2C businesses was up 3% on a constant currency basis. Our retail store revenues were up 5% on a constant currency basis, with growth in both brands and all regions. In our owned and operated ecommerce business, strong growth in North America and in APAC in local currency was more than offset by a planned reduction in Europe as we focus on driving in-season product performance while significantly lowering prior season clearance sales through our sites and reducing our own sales on third party platforms. Importantly, spring 2024 product sales were up double digits compared to spring ’23. As a result of the decline in Europe, overall PVH owned and operated ecomm revenue was down 5% on a constant currency basis. Within wholesale, we remain focused on strong quality of sales and winning with our key wholesale partners, but we also see retailers continue to take a cautious approach, particularly in Europe. Total wholesale revenue was down 17%, including a 6% decline from the sale of the heritage intimates business and the impact from the quality of sales focus in Europe that I mentioned earlier. The decrease was in line with our expectations, other than the favorable timing shift in North America I mentioned previously. Looking forward for wholesale, as Stefan mentioned earlier, we are encouraged by the early signs of our spring 2025 order book, where we see our orders sequentially improving compared to fall 2024. Turning to our global brands, Calvin Klein revenues were up 1% in constant currency and flat on a reported basis with growth in North America, while the international business was flat in constant currency. Tommy Hilfiger revenues were down 9% on a constant currency basis and down 10% on a reported basis. In the Tommy business, growth in North America was more than offset by a decline in the international business as the strategic shift to higher quality sales and macroeconomic challenges impacting Europe weighed much more heavily on the Tommy business. In the first quarter, we delivered record high gross margin of 61.4%, an increase of 350 basis points compared to last year with approximately two-thirds due to channel and customer mix as we grew our higher margin D2C business and decreased sales to lower margin accounts, and approximately one-third due to lower raw material costs. SG&A expense as a percent of revenue was 51.4%, an increase of 270 basis points versus last year. The increase is comprised of approximately 250 basis points due to the higher D2C mix and approximately 250 basis points from the deleverage of expenses on lower revenues, partially offset by an approximately 200 basis point improvement due to cost efficiencies realized from actions we have taken to reduce people costs and prudent management of expenses. Expenses in first quarter were slightly lower than planned due to a shift in timing of expenses into the second quarter. In total, EBIT for the quarter was $195 million and nearly flat compared to $199 million in the prior year as the strong gross margin improvement almost entirely offset the impact of the revenue decline. Operating margin expanded 80 basis points last year to 10%, with significant improvement in our North America business to 10.5% for Tommy Hilfiger and Calvin Klein combined. The improvement in North America reflects a nearly 500 basis point improvement in both gross margin and SG&A versus last year and marks another quarter with a double-digit operating margin, another important step in our PVH Plus plan commitment to achieve low teens operating margins in the North America region. Our tax rate for the quarter was approximately 19%. Earnings per share increased 14% versus last year to $2.45, exceeding our earnings guidance by $0.30. Approximately $0.20 of that is due to the favorable shifts in timing of revenue and expenses between the first and second quarter I mentioned earlier. Approximately $0.05 is due to a lower tax rate and interest expense, and the remainder is due to modest business improvement compared to expectations. Now moving onto our outlook, starting with the second quarter, we are projecting second quarter revenue to decline 6% to 7% as reported, and 5% to 6% on a constant currency basis compared to the prior year, including a 3% decline due to the sale of the heritage intimates business. While we are projecting first quarter trends in our direct-to-consumer businesses to continue into 2Q with low single-digit growth on a constant currency basis, we expect this will be more than offset by a similar decline in wholesale revenue primarily in Europe, for the reasons I mentioned earlier. We expect our second quarter operating margin will be modestly higher than last year with higher gross margins more than offsetting the loss of leverage due to the decline in revenue. Our second quarter EBIT is projected to be nearly flat compared to last year despite the shift in timing of expenses into the second quarter that I mentioned earlier. Earnings per share is expected to be approximately $2.25, up approximately 14% compared to $1.98 in the prior year. Our tax rate for the second quarter is estimated at approximately 20%, and interest expense is projected to be approximately $20 million. Overall, while shifts in timing of revenue and expenses are affecting our results in the first and second quarters, we expect our first half 2024 business performance to be in line with our original plans. Now moving onto the full year, we continue to navigate a tough macro environment, including the soft consumer backdrop and a conservative wholesale environment, and we remain on track to deliver the business outlook we shared in April. As such, we continue to project revenue to decrease by 6% to 7% on both a reported and constant currency basis compared to last year, including a 2% decline due to the sale of the heritage intimates business and a 1% decline due to the 53rd week in 2023. Regionally, our outlook is also unchanged with sales for the North America Calvin Klein and Tommy Hilfiger businesses combined planned up low single digits versus 2023, with mid single digit growth in the D2C business tempered by wholesale. Asia Pacific is planned to grow high single digits on a constant currency basis with growth projected in all markets, led by D2C, and Europe is planned down high single digits in euros with D2C planned down low single digits, with modest comp door growth offset by reductions in our own sales on third party platforms. We are also reaffirming our projected operating margin for the year will be approximately flat to 2023. We continue to expect our full year gross margin rate to increase approximately 200 basis points compared to 2023, reaching an all-time high with approximately half of the increase due to channel and customer mix as we grow our higher margin D2C business and decreased sales to lower margin wholesale accounts, and approximately half due to lower raw material costs which were elevated during the first half of 2023, as we leverage our scale with globally aligned product assortments. We continue to plan SG&A expense dollars down for the full year in 2024 as compared to 2023, but expect SG&A as a percentage of revenue to increase approximately 200 basis points, more than explained by D2C mix and deleverage on revenue. As I discussed in April, we have already begun the work on the next phase of growth driver 5 of the PVH Plus plan to simplify our operating model and drive efficiencies. Interest expense is now projected to be approximately $75 million versus approximately $88 million previously, as the interest rate on the debt refinancing in April was better than planned, and we expect our tax rate will be approximately 20% versus approximately 21% previously. With these improvements in interest and tax, we are raising our non-GAAP EPS guidance by $0.25 to a range of $11 to $11.25, compared to $10.75 to $11 previously. Before we open it up for questions, I want to reiterate that we are pleased with our first quarter results and remain confident in our ability to win in a tough environment. We continue to work relentlessly to drive results, and as Stefan talked about earlier, we are laser focused on executing the five key growth drivers of the PVH Plus plan, bringing together the consumer-facing value drivers of product, consumer engagement and marketplace with our underlying operating engines to deliver sustainable, long term profitable growth. With that, Operator, we would like to open it up to questions.
Operator: [Operator instructions] Our first question will come from Matthew Boss with JP Morgan. Please go ahead.
Matthew Boss: Stefan, could you elaborate on the progression of sell-through trends at wholesale that you’re seeing for both Tommy and Calvin, and speak to opportunities you see remaining with product innovation and newness as we think about the fall and then spring of ’25? Then for Zac, maybe could you just elaborate on drivers of the North America profitability inflection that we saw in the first quarter and any change in the multi-year path to mid-teens operating margin?
Stefan Larsson: Thank you Matt, and good morning. Let me start with the sell-through question, because what we see now is in the marketplace overall, we see that the quality of sales actions that are taking is taking hold. What that means is it’s enabling stronger in-season sell-throughs, less end-of-season clearance, and creating more openings for repeat orders out of our never out of stock part of the assortment. We have a much better inventory composition than last year in both wholesale and D2C, can also see that in our gross margin rate coming out. In wholesale, when it comes to wholesale in Europe, we’ve had two important positive reads since last time we spoke. Even though fall 2024 order books were cautious based on last year’s [indiscernible] fall start and excess inventory that led to in the market, we have had very positive reactions from our partners on our fall 2024 product improvements in both Tommy and Calvin, so the innovation we put into the product category of hero products, building out performance, tech, dress casual has really been well received. Important to note this, we just saw the pre-spring 2025 order books in Europe, and we see sequential improvements versus fall 2024, as both Zac and I mentioned in our prepared remarks. Next week, we have all our sales teams in Amsterdam for our main spring 2025 market launch. We go through all of the product and market strength that we will bring to the market for that season, and continue to build out the pre-spring trend. Finally, for the North America wholesale perspective, you can see in this quarter that we had a stronger pull-through from our accounts and sell-through keeps improving, so that drove the comp sales growth in wholesale for both Calvin and Tommy in North America. Before I hand it over to Zac for your North America question, I just want to share how good I feel about our leaders and teams in North America, really bringing our brands to life to win with both the international and domestic consumer. This quarter drove growth in both Calvin and Tommy, both D2C and wholesale, doing it the high quality way, average order value up, conversion up, lower promotions, and for the third consecutive quarter, as we mentioned, 500 basis point margin improvement, EBIT margin of 10.5%, something--I would say second, I would say most people thought it was tough to get to a year ago when we set that out two years ago. It’s the disciplined PVH Plus execution in the region when it comes to the product category offence, hero product build-out, consumer engagement, better execution in ecommerce, better execution in stores and with our partners, so really encouraged there. Zac?
Zac Coughlin: Yes, great. Hi Matt, thanks for the question on North America profitability. As Stefan said, we’re really pleased with the business performance in North America. We said earlier, and Stefan just reiterated, third straight quarter of greater than 500 basis points of operating margin improvement. In reality for the first quarter alone, it was closer to 1,000 basis points, so as good as that sounds, the underlying details are actually just as solid from there, so as Stefan said, growth in both brands and across channels. I think that’s starting from the top line a great story. For gross margin expansion, 400 to 500 basis points of improvement on each as the impact of that better product coming through and lower reliance on discounts really shows up. On SG&A as a percent of revenue, also down 400 to 500 basis points as we really worked on rewiring how the region works to make it drive more efficiently. Most importantly, we’re seeing significant EBIT margin across both brands and all channels, so the composition of the overall improvement of the 10.5% is coming from everywhere. I think as we pulled back then and look and see what that means, our confidence in getting to the low teens for North America that we’ve committed to remains very high, and I think it’s our best proof point, as Stefan had said, is when you marry the power of the PVH Plus plan value drivers coming together, you see the sort of improvements that we’re seeing.
Matthew Boss: Great. Best of luck.
Stefan Larsson: Thank you.
Operator: Thank you. Our next question will come from Bob Drbul with Guggenheim. Please go ahead.
Bob Drbul: Hi, good morning. I was wondering if you could spend some more time on Europe, just talk a little bit more about how you feel about the positioning of the brands with the quality of sales initiatives underway, and could you just expand some more around the thoughts on the leadership changeover in Europe? Thanks.
Stefan Larsson: Yes, absolutely. Thank you Bob. If we look at Europe, we landed the quarter almost exactly in line with our plans that we communicated last quarter. Last quarter, we shared that we had seen the consumer backdrop in Europe become tougher, especially in our two biggest markets, U.K. and Germany, very cautious wholesale channel coming out of that. Therefore, we decided to pull back in the near term, take quality of sales actions now to position us to drive high quality growth and margin expansion for the long term. As I mentioned relating to Matt’s questions, the quality of sales actions are starting to take hold. From a market position in Europe, we have a uniquely strong market position. We just received back our quarterly consumer and brand study that we do here internally, and looking at a market like Germany, sector-leading performance in brand love, visibility, consideration, buy most often, so very strong market position. In this tough environment, our goal is to not have too much inventory to keep pricing power in the market. It’s very easy in a situation like this to push low quality sales, empty calories in the market. We won’t do that because we have a long term brand building and value-creating focus, and that’s what’s built us so strong in Europe. More concretely when it comes to the quality of sales actions, can see it easily and fastest in D2C where we mentioned that 50% less clearance sales in the quarter and 10% increase in new spring season sales, so very encouraged by that. Then you add the sequential improvements of wholesale pre-spring and now coming into spring, we continue to strengthen the PVH Plus execution in product, marketing, marketplace execution. When it comes to the leadership change, this quarter we thanked Martijn after 16 years leading the company. He has been the CEO of Tommy Hilfiger Global and PVH Europe. When Lea is now in place as Tommy Global President, reporting directly to me, it follows the same brand structure as we set up for Calvin when Eva Serrano came in a year ago. We can already see the positive performance in Calvin from that, so we’re mirroring that structure for Tommy. With Lea coming in, flattening the structure, this was the right time to make this change. David Savman is taking the interim CEO role in Europe. David has played a unique role in the company, not the typical supply chain leader. He is part of product creation with the global brands, all the way to consumer in-store sell-throughs, meeting our partners. He has also spent a lot of time with our teams in Europe. He has been based and led for many years in Europe during his career, so he knows Europe, he knows our teams, and he is off to a running start.
Bob Drbul: Thank you.
Operator: Thank you. Our next question will come from Michael Binetti with Evercore ISI. Please go ahead.
Michael Binetti: Hi guys, thanks, and congrats on a nice quarter. Hey Stefan, I think first quarter, that’s the first time we’ve seen the top line impacts of the strategic pull-back in Europe. I think in first quarter, you said gross margin in Europe was up 200 basis points, but I wonder if you could help us--I think you have a lot of input costs going in the right direction with cotton and freight, and maybe some channel mix there obviously with wholesale. It seems like more of the improvement on the margins from actually changing the structure of the business in Europe are still ahead of us. Could you maybe walk us through at a higher level how to think about the next few quarters on profitability as we see you come out of the initial phases on the top line? Then Zac, on the gross margin guidance for the year, you spoke to the new product and spring up 10%, clearance down 50%, the allocations down to 70% from 90%, so David’s initiatives are showing some progress. I guess the guidance suggests the gross margin gains will slow a little bit after first quarter. Are there other headwinds we should think about, or just appropriate to maintain a conservative posture in the macro?
Stefan Larsson: Thank you Michael, let me start on the gross margin rate. Really exciting to see this quarter that we drove an all-time high gross margin rate for the company, and when we look at the outlook that we are communicating for the rest of the year, the guidance, it’s also all-time high, so that all-time high is central to the PVH Plus plan work we do in terms of going back to the DNA of the brands and very systematic repeatable driving product strength through two rates--so you see the gross margin rate come up through two parts. The first is the category offence, the innovation in hero product, the right level of newness, the improvement in planning, buying, allocation that we mentioned - that’s driving pricing power and gross margin up. Also from David and the supply teams, great work in driving cost of goods down by the way we purchase, the way we platform raw materials, so you will see that engine kick into gear more and more over the year and over the coming few years, actually, so it’s a mix between the consumer-facing, pricing power, and the underlying demand-driven supply chain coming in.
Zac Coughlin: Yes, and Michael, we had a strong first quarter for gross margin, over 61%, and an all-time high. I think some of the key drivers under there also lay out where we’re headed for the rest of the year. We were helped by channel mix in the first quarter - D2C penetration grew by around 500 basis points, so we get the gross margin lift there. The work that Stefan just talked about that we’re doing in Europe, the quality of sales work there, to a certain extent around the world as well has helped to drive that gross margin improvement. It’s about two-thirds of the 350 basis points. Then on top of that, we’re still comparing versus last year to product costs around raw materials that were a lot higher, so that’s about one-third. I think as we look then for the full year, we’ve said up approximately 200 basis points. For Q2 and Q3, we can expect increases in that general range, and the reason why those come off from first quarter is we start to see some of the diminishing effect around the product costs as those began to show up in products as the year progressed last year, but the work around the quality of sales continues on for the rest of the year. Fourth quarter, we do start to annualize both some of the macro improvements as well as some of the work around quality of sales that we started at the end of last year as well, and that’s why you see the flow of margin as we go through. But I do think it’s worth noting as we talked about record-setting highs for gross margin in the first quarter, for the full year as well, we’re calling gross margin around 60%, also an all-time high, so I think that’s a good way to sort of see the proof coming through from the quality of work around the PVH Plus drivers and the quality of sales work.
Michael Binetti: Okay, thanks a lot guys. Appreciate it.
Operator: Thank you. Our next question will come from Jay Sole with UBS. Please go ahead.
Jay Sole: Great, thank you. Regarding inventory down 22%, how do you feel about the composition and alongside that progress with the supply chain initiatives? Thanks.
Stefan Larsson: Thanks Jay. Yes, we continue, as we set out in the PVH Plus plan, and we made it more specific through the quarters where we have heads down, executing and building out the supply chain, the demand-driven supply chain is to optimize--better and better optimize inventory in relation to demand, and you see that we’re down 22% in inventory versus last year. We are that with better availability. We are improving our planning, buying and allocation - I mentioned RFID, it’s not a novel thing, but it’s very effective, and we are rolling that out for--across every brand, every channel across the company, and that will then--that RFID will enable us to know exactly where every piece of inventory is, which will enable us to further improve planning, further improve buying, and be more granular on the allocation. The allocation example I shared in my prepared remarks, which is 30% of the inventory in D2C is now allocated based on demand signals, so you will see us continue to build this out over quarter by quarter by quarter over the next few years. That is something that will create a lot of value, and that, as Zac mentioned, is the underlying engine that will fuel the consumer-facing improvements.
Jay Sole: Got it, thank you so much.
Stefan Larsson: Thank you Jay.
Operator: Thank you. Our next question will come from Dana Telsey with Telsey Group. Please go ahead.
Dana Telsey: Hi, good morning everyone. Stefan, as you think about the PVH Plus plan and the drivers behind it, how do you think it’s coming together in regards to the consumer, and given the improvements in gross margin that you have, how do you see the expansion into ’25 as you are thinking about the balance of this year and go forward? Thank you.
Stefan Larsson: Yes, thanks Dana. The PVH Plus plan, we are very focused on these five growth drivers, so we will be relentless on executing all of them. It’s when we have progress in each, that’s when the real strength unlocks. It starts--to your point, it starts with driving brand engagement, and what’s really encouraging to see is that is also where we have the shorter lead times. If you look at brand engagement improvement versus product improvement, brand engagement had shorter lead times, and I’m super pleased by seeing that both Calvin and Tommy is really cutting through on a brand desirability level, consumer engagement, social - again, sector leading performance in many of those stats. This is also connecting back to the underlying reason to believe in what we are setting out to do with Calvin and Tommy, because the kind of brand stats and the consumer engagement and the brand love from the consumer globally that you see now, you can’t buy that. There are very few brands in the world who have that kind of underlying love and have collided with culture. Then the way our teams now create cut-through campaigns amplified with mega-talent, connect them to the cultural conversation, it’s super exciting because that then enables us to connect to that brand engagement and brand love. We build out over time stronger, stronger product execution, stronger marketplace execution, and then to the final point of your question, that will then drive gross margin expansion over time. I see that, again, we are early in the execution, but seeing some of the highest brand engagement stats in the industry across the board, so kudos to the teams for really doing that.
Dana Telsey: Thank you.
Operator: Thank you. Our next question will come from John Kernan with TD Cowen. Please go ahead.
John Kernan: Good morning, thanks for taking my question. We’re two years into the PVH Plus plan, there’s been quite a few questions already on today’s call, and obviously the gross margin has shown sizeable improvement since that plan. I guess the question now is, SG&A rates have offset some of that 300 basis points-plus of gross margin improvement, what’s your clearest line of sight into the long term margin potential of the business, and how top line dependent are you on those long term targets?
Stefan Larsson: Thanks John. To your point, we’re two years in, but if you ask me to start with just giving an assessment of where we are on the journey, Eva is still only one year into her leadership of Calvin, and with her team already getting strong traction on engagement, taking massive action on product and experience improvements. Lea is on board since April, early coming in very strong, mirror the successful structure in Calvin, starting to move product innovation improvements already for spring ’25. Early innings for the demand-driven supply chain that we’ve talked a lot about. We’re driving growth in North America, both D2C and wholesale. We are in the beginning to tap into that full potential ahead of what most of us thought we were going to execute at this point. Asia is one of our growth engines, a lot of potential still ahead of us. I spent a week with our teams there just a few weeks ago in both China and Japan, and most of the growth potential is still ahead of us. We are operating in a very tough macro consumer backdrop in Europe, proactively taking the right steps there to set us up for long term growth with increased margin expansion. We have the leadership team more and more in place that have the experience and capability to do it, so if you look at it, this is something that over time, we will continue to build, and that plays back into the gross margin expansion as well.
Zac Coughlin: Yes, and I think just from an SG&A perspective, to get to that specifically, a good first quarter, down almost $50 million compared to last year with reductions across nearly all of the spend categories as our work on driving efficiencies gains traction. I think one special note inside of--on the investment side, marketing, as Stefan mentioned, remains an important focus for us, and marketing as a percentage of sales up again versus last year, so we want to make sure that we continue to prioritize. Then looking forward, we’re actively working on the next phase of PVH Plus value driver five. We’ve identified a number of areas where new ways of working, better alignment to the PVH Plus plan, and benefits of global scale will deliver additional SG&A savings. As we discussed last quarter, that work is at the center of the operating model, so we’re working carefully and expect to see those benefits starting in ’25. But as Stefan mentioned, we do expect to grow, and with that, we’ll bring leverage to drive profit margin improvement; but we also see significant opportunity in the rest of the P&L to contribute to that path to 15% that we’ve committed to.
John Kernan: That’s helpful. Zac, just a quick follow-up, when you look at the SG&A and the capex, where do you see the most impactful and highest future returns on investments for Calvin and Tommy?
Zac Coughlin: I think overall, one, as Stefan said, we’re working on what each of the legs of the path that are shorter, so the shortest turn is marketing and that’s where our focus has been. I think as Stefan’s talked so much about consumer engagement here, we’re seeing that begin to pay off, so we feel great that that investment and the return is coming. I think now as we work further in, we’ll start to see the longer lead items, things like working on the store network and expansion - we expect that to be a significant [indiscernible] of investment for us and an opportunity as well to continue to grow our physical presence, and then behind that, the investment to support those drivers in both technology and in supply chain, also in support of both efficiencies as we get--operate more efficiently, but also helping to pursue and drive growth.
John Kernan: That’s great. Thanks everybody.
Stefan Larsson: We have time for one final question for today.
Operator: Thank you. Our last question will come from Ike Boruchow with Wells Fargo. Please go ahead.
Ike Boruchow: Hey, good morning everyone. One for Stefan, one for Zac. Stefan, when you talked about the early spring reads on the books in Europe, just kind of curious - maybe I didn’t understand, were you saying that you’re just seeing sequential improvement, or do you think that there’s potential for those books to end up positive when all is said and done? Then Zac, I just wanted to make sure I understood - the digital business for you guys has been growing very nicely, and I know it was down 5 in constant currency in Q1, I think you gave a reason for that. Can you just remind me, what was that driver, and then how should we expect digital growth to kind of play out the rest of the year? Thank you.
Stefan Larsson: Thanks Ike. Coming back to the positive indications in the European wholesale channel, we just finished pre-spring - it’s the smaller part of overall spring. The main season, we are kicking off next week with the product and marketing strength that we will bring to the market, so. What I referred to is the pre-spring. The beginning of spring, we see positive indication of trend change and sequential improvements versus fall 2024, and we’ll fill you in later when we have sold through our main season for spring ’25.
Zac Coughlin: Yes, and from a digital channel perspective, it remains important for us. We saw strong growth in North America this quarter in both brands, and that was profitable growth. Continue to grow digital across Asia - that’s been a cornerstone of that growth over time, so those are both growing. Where we’re seeing that pull-back is in Europe, and there’s really two pieces to that. One is some work that we were doing around third party platforms, that we are choosing to pull back from as a part of the quality of sales initiative, and then even on our own ecommerce platform, in orientation towards increasing the in-season full price versus driving sales through discounting, I think Stefan talked about it earlier, we’re seeing that pay off for all of D2C in Europe, spring ’24 being up double digits versus spring ’23 last year, so. Digital is incredibly important, and we’re growing in the places that are a focus and important for us to grow in still.
Ike Boruchow: Got it, thank you.
Stefan Larsson: All right, thank you Ike. With that, just want to wrap up to say that we are on this multi journey to build Calvin and Tommy into the most desirable lifestyle brands in the world. It’s exciting to see with the consumer engagement how we can already now cut through along the top of the sector. We have a lot of work still to do to build out the brands and PVH to a leading brand-builder in our sector. In Q1 in a tough macro, we executed our plan, we delivered on our commitments, and we’ll just have our heads down, relentless execute to do this quarter after quarter. What I’ve shared before, the biggest reason to invest in us lies in the compounded effect of our consistency in direction, consistency in PVH plan, and strong execution discipline, so looking forward to staying close on that journey. Wishing you all a great summer in the meantime. Thank you.
Operator: Thank you. This does conclude today’s call. We thank you for your participation. You may disconnect at any time.